Operator: Greetings, and welcome to the Kimbell Royalty Partners' Second Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Rick Black. Please go ahead, sir.
Rick Black: Thank you, operator, and good morning, everyone. Welcome to the Kimbell Royalty Partners conference call to review financial and operational results for the second quarter, which ended June 30, 2025. This call is also being webcast and can be accessed through the audio link on the Events and Presentations page of the IR section of kimbellrp.com. Information recorded on this call speaks only as of today, which is August 7, 2025, so please be advised that any time-sensitive information may no longer be accurate as of the date of any replay listening or transcript reading. I would also like to remind you that the statements made in today's discussion that are not historical facts, including statements of expectations or future events or future financial performance are considered forward-looking statements made under the pursue harbors provision of the Private Securities Litigation Reform Act of 1995. We will be making forward-looking statements as part of today's call, which, by their nature, are uncertain and out of the company's control. Actual results may differ materially. Please refer to today's earnings press release for our disclosure on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Management will also refer to non-GAAP measures, including adjusted EBITDA and cash available for distribution. Reconciliations to the nearest GAAP measures can be found at the end of today's earnings press release. Kimbell assumes no obligation to publicly update or revise any of these forward-looking statements. I would now like to turn the call over to Bob Ravnaas, Kimbell Royalty Partners' Chairman and Chief Executive Officer. Bob?
Robert Dean Ravnaas: Thank you, Rick, and good morning, everyone. We appreciate you joining us on the call this morning. With me today are several members of our senior management team, including Davis Ravnaas, our President and Chief Financial Officer; Matt Daly, our Chief Operating Officer; and Blayne Rhynsburger, our Controller. We are pleased to report solid results for the second quarter with strong cash flow, continued debt paydown and lower cash G&A cost per BOE. Our rig count remains robust and our market share of overall U.S. land rigs actively drilling increased by 1% to 17%. In addition, while the overall U.S. land rig count dropped by 7% quarter-over-quarter as operators, primarily in the Permian, slowed drilling activity, our overall rig count dropped by only 2% to 88 rigs actively drilling on our acreage. In the Permian Basin, our rig count actually increased by 4 rigs and Haynesville increased by 5 rigs, while the Mid-Con experienced a decline in drilling activity. Net DUCs increased by 9% quarter-over-quarter, led by the Permian Basin, which bodes well for near-term production contributions from this region. Finally, cash G&A per BOE came in below the low end of guidance, reflecting operator discipline and positive operating leverage. Today, we announced a $0.38 distribution per common unit as we continue to focus on returning value to unitholders. We remain encouraged by the opportunities we see in 2025 and beyond to continue to grow and expand our industry-leading portfolio of assets to generate long-term unitholder value. And now I'll turn the call over to Davis.
Robert Davis Ravnaas: Thanks, Bob, and good morning, everyone. I'll now start by reviewing our financial results for the second quarter. Oil, natural gas and NGL revenues totaled $75 million during the second quarter and run rate production was 25,355 BOE per day. On the expense side, second quarter general and administrative expenses were $9.6 million, $5.4 million of which was cash G&A expense or $2.36 per BOE. Total second quarter consolidated adjusted EBITDA was $63.8 million. You will find a reconciliation of both consolidated adjusted EBITDA and cash available for distribution at the end of our news release. This morning, we announced a cash distribution of $0.38 per common unit for the second quarter, and we estimate that approximately 100% of this distribution is expected to be considered a return of capital and not subject to dividend taxes. Further enhancing the after-tax return to our common unitholders. This represents a cash distribution payment to common unitholders that equates to 75% of cash available for distribution and the remaining 25% will be used to pay down a portion of the outstanding borrowings under Kimbell's secured revolving credit facility. Moving now to our balance sheet and liquidity. At June 30, 2025, we had approximately $462 million in debt outstanding under our secured revolving credit facility, which represented a net debt to trailing 12-month consolidated adjusted EBITDA of approximately 1.6x. We also had approximately $163 million in undrawn capacity under the secured revolving credit facility as of June 30. As a reminder, on May 1, 2025, the borrowing base and aggregate commitments on our secured revolving credit facility were increased from $550 million to $625 million in connection with our spring redetermination. In addition, on May 7, 2025, we redeemed 50% of the outstanding Series A cumulative convertible preferred units, further simplifying our capital structure and reducing our cost of capital. We continue to maintain a conservative balance sheet and remain very comfortable with our strong financial position, the support of our expanding bank syndicate and our financial flexibility. Today, we are also affirming our financial and operational guidance ranges for 2025. As a reminder, our full 2025 guidance outlook was included in the Q4 2024 earnings release. We remain confident about the prospects for continued robust development as we progress through 2025, given the number of rigs actively drilling on our acreage, especially in the Permian as well as our line of sight wells materially exceeding our maintenance well count. We continue to believe that the overall demand for energy and our well-established and diversified asset portfolio will continue to enhance value for our unitholders for years to come. With that, operator, we are now ready for questions.
Operator: [Operator Instructions] And our first question will come from Tim Rezvan with KeyBanc Capital Markets.
Timothy A. Rezvan: I wanted to start -- I'm sure you gave this a review as we did the Sitio Viper 14C filing that came out recently, ahead of that merger closing this month. It was pretty clear from that publication that Sitio was actively looking for an upstream partner to sort of bolster the minerals production and it made me think of the SPAC you all had. And if I recall, when you wound that down in 2023, you said we're winding down the SPAC, but we're still very much supportive of that -- the role that a partnership could have. So I was curious kind of speaking on behalf of the Board, where is that on the sort of priority list for the company? Is it a back-burner wish list item? Or do you feel the need amid consolidation, like is there more of a greater urgency to look to create some sort of partnership?
Robert Davis Ravnaas: Yes. Tim, I'd say that, that's an option that we've explored in the past. We continue to explore that. We have resources internally that continue to look for operator partnerships. I wouldn't put it at the front of our list of priorities. We have, as you know, a dozen-plus years of inventory so we can grow organically. And we continue to see an incredible opportunity set for M&A, particularly for deals under $500 million, which is the vast majority of royalty transactions and deals of that size can meaningfully move the needle for a company like us in terms of accretion. So we continue to maintain just a business-as-usual approach to making acquisitions, but certainly an operating partnership, if it makes sense for us, would be a wonderful thing.
Robert Dean Ravnaas: Tim, this is Bob. I'd also like to just add right now as a placeholder. Through the years, I've talked to a number of people and everyone that has talked about Chris at Sitio has always said what a great guy he is. And in reading the filings, it certainly shows that he also works really hard. I've known Dax over there going back to the days of Brigham, and he's a fantastically talented guy, too. So I'd just like to wish Chris and Dax the best of luck and everybody else over at Sitio, and they should be proud of what they've built there.
Timothy A. Rezvan: And then as a follow-up, it sounds like in this environment where oil production is starting to roll, you all feel like maybe organically, you can sort of outperform that a little bit. But given kind of increasing rig count on the gas side, how are you -- you've been basically Permian focused. And I know you give a good answer that we're agnostic. We look at returns, but there's clearly been a Permian focus. So are you sort of resetting sort of how you're looking at opportunities out there given that the Permian is potentially on the cusp of an oil decline? Just kind of curious how you're rethinking A&D opportunities.
Robert Davis Ravnaas: No, it's a great question. And the same answer is always. We're always going to look at opportunities based on what makes the most sense across every basin in the United States. We didn't deliberately -- you're absolutely correct. We have made, I would say, an outsized Permian acquisition move in the last few years. That's really just been where the opportunity set was. The vast majority of private equity capital beginning 5 to 10 years ago really went into the Permian. And so as those portfolios started to mature, they came to market and became accretive candidates for acquisition for us, we weren't specifically saying that we wanted to buy Permian assets. That's just where we saw the opportunity set. We've had a harder time in recent years making natural gas acquisitions. Some of the packages that we've seen in the Haynesville have just been priced at levels that we just don't really understand candidly. Now that being said, we were able to make at the time, our largest acquisition, which was Haymaker back in 2018. That was back when gas prices were $2 and nobody really wanted to be in the Haynesville. People were more focused on the Permian. So it really is -- it's not a contrarian strategy, I would say, but it's more of a -- where do we see the opportunity set and let's use the benefit of the fact that we've made successful acquisitions in every basin. And from that experience, just allocating our time and resources to the basins where we can benefit our shareholders the most is really the answer. I mean, Tim, I was surprised to see -- there is -- I mean, of course, you're correct about Permian activity and all the headlines there and the news that we're reading. We were surprised to see 5 rigs added to our Permian acreage quarter-over-quarter. We had 4 added to the Haynesville. The Mid-Con slipped a little bit. But I think your point at the initial outset was well taken, which is we do expect just based on the data we're seeing, that we will outperform at least on a relative basis, other folks, not only in the Permian, but outside there, just based on what we're seeing in rig data.
Timothy A. Rezvan: Okay. That's helpful. And then just a follow-up. You said you focus on the Permian because that's where the opportunity set was. Is that still the case today relative to the last 2 or 3 years?
Robert Davis Ravnaas: Yes. I mean, again, great question. I mean we bought the Boren acquisition back in January, which was core Midland Basin. I would say -- good question. No one's asked me that directly recently. I would say we're seeing a slowdown in Permian packages coming to the market, and I'm not exactly sure what's driving that other than the obvious oil and gas prices or oil prices being $65 and lower recently. I would say that the Permian is probably at a lower share of activity from a sell-side perspective today than it has been over the last couple of years. So I think that's a fair statement and a good question.
Operator: Our next question comes from John Annis with Texas Capital Bank.
John Annis: Digging into your comments on the rig market share, what do you attribute to the resilience of rig activity across your acreage relative to the broader decrease seen across industry? Is it just more sticky activity from the large, well-capitalized operators that you highlight on Slide 8?
Robert Davis Ravnaas: It's a good question, and I'll try to answer it with fairness and humility. I think we have an asset base that is of higher quality than average and its diversified nature across the Permian Basin. And so we have seen a little bit more stickiness on our acreage specifically relative to the rest of the basin. And it's always encouraging to see that on our footprint. And mostly, that's the result of we have an active acquisition program that goes back 25 years. We've just been very careful over the years to buy in areas that we think are above average in terms of the results and the development activity that we would expect.
John Annis: Terrific. For my follow-up, with the step-up of gas-directed activity across your acreage relative to oil, how should we think about natural gas growth in the second half of 2025 and into '26? And any expectations on how your production mix might evolve over the next couple of quarters?
Robert Davis Ravnaas: That's a great question. We're very excited about natural gas for all the reasons that everybody else is. I would say it's very lumpy. We'll have quarters where we see dramatic increases in natural gas production. We saw that in the Haynesville really over the last several quarters. And then this quarter, production went down a little bit. But then we saw rigs getting added to the Haynesville. So all things being equal, if natural gas as a commodity continues to outperform oil, we would expect a slightly gassier mix in our production profile going forward. But nothing quite yet to where I would say it's really noteworthy or substantial. It stayed relatively sticky, at least for now.
Operator: And our next question comes from Noah Hungness with Bank of America.
Noah B. Hungness: I guess for my first question here, now that growth isn't a given anymore in the Permian and then also even basins that were in the plateau is not necessarily a given. Could you just touch on how the M&A market has changed in terms of what people -- what valuations are starting to look like? Are people taking a more conservative approach now? Or do people still feel comfortable underwriting some level of growth?
Robert Davis Ravnaas: So good question. Every acquisition is different, right? So the Boren acquisition we did in January, they have continuous drilling clauses and things that help us underwrite growth on the asset or at least maintenance of production. But that's unusual, I would say, and more unique in nature. Some other acquisitions don't have that same profile. So I think one of the reasons, and I think it was tend to ask me earlier what we're seeing in the Permian. I think that one of the reasons perhaps you're not seeing a lot of Permian packages out there right now is that they want multiples of cash flow that reflect, to your point, a growth environment where in today's atmosphere, we're expecting flat volumes, if not slightly lower, which would justify a lower cash flow multiple. So usually, these kinds of things take time. Either sellers don't transact or they get enough feedback over a long period of time that they need to expect a lower price and then they start to run up against exit constraints and timing and those things and become sellers at more reasonable valuations. So it's still early days on what to expect there, but I would think over time that necessarily cash flow multiples on acquisitions are going to have to come down if you don't see that same growth profile in the Permian that you've seen in the past to your point.
Noah B. Hungness: Got you. That makes sense. And then for my second question, could you guys maybe just give any additional color on what drove your G&A so low this quarter and kind of how sticky that is looking forward?
Robert Davis Ravnaas: Yes, Matt, I'll maybe transition over to you to answer that one.
Matthew S. Daly: Yes. I mean it was mainly due to lower professional fees this quarter. Obviously, nice to see it below the low end of guidance. I would say for the rest of the year, you should target for modeling purposes sort of the lower end of guidance. I believe it's around $2.45 per BOE. We expect it to -- obviously, we're focused on efficiencies and keeping the personnel level constant here as we make acquisitions. But this was a great quarter on G&A. And again, going forward, probably the low end of guidance is an appropriate level.
Operator: This now concludes our question-and-answer session. I would like to turn the floor back over to management for closing comments.
Robert Dean Ravnaas: We thank you all for joining us this morning, and we look forward to speaking with you again next quarter. This completes today's call.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines and have a wonderful day.